Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Benchmark Electronics Third Quarter 2012 Earnings Call. [Operator Instructions]
 And as a reminder, today’s conference call is being recorded. I’d now I turn the conference over to your host, Mr. Don Adam. Please go ahead. 
Donald Adam: Good morning. And welcome to the Benchmark Electronics earnings results conference call for the third quarter of 2012. This call is being recorded and will be posted for audio playback on the Benchmark website.
 I will begin with a few opening statement then I will provide you a review of our financial metrics for the quarter, after that I will turn the call over to Gayla Delly, our President and CEO, to provide an overview of our performance, the state of our business and the outlook for the fourth quarter. After our prepared remarks Gayla and I will take time for your questions in our Q&A session and we will hold this call to 1 hour.
 This morning during our conference call, we will be discussing forward-looking information that involves future events and the future financial performance of the company. We would like to caution you that those statements reflect our current expectations, actual results or events may differ materially from our projections. We also would like to refer you to Benchmark’s periodic reports that are filed from time to time with the Securities and Exchange Commission, including the Company’s 8-K and S-4 filings, quarterly filings and Form 10-Q and our Annual Report on Form 10-K. These documents contain cautionary language and identify important risk factors which could cause actual results to differ materially from our projections or forward-looking statements. We undertake no obligation to update those projections or forward-looking statements in the future.
 First, I like to comment on our third quarter revenue and earnings per share. We are pleased to complete the third quarter of 2012 with revenues of $611 million, these revenues were within our guidance for the quarter of $595 million to $625 million. Our earnings per share, excluding restructuring and the net Thailand flood related recovery for the third quarter were $0.31 and our GAAP earnings per share were $0.34. This compares to $0.34 for non-GAAP and GAAP EPS last year, which included a discrete income tax benefit of $9 million or $0.16 per diluted share.
 Revenue breakdown by industry for the third quarter of 2012 was as follows: Computing was 30%, Industrial Controls for 27%, Telecom was 28% Medical was 10 % and Testing and Instrumentation was 5%. The breakdown when comparing the third quarter to the second quarter of this year is as follows: Telecom revenues were up quarter-over-quarter, again primarily associated with new program ramps. For the Industrial Control sector, our revenues increased slightly this quarter as compared to last, again, also due to new program ramps. Medical sector revenues were relatively flat and the Computing sector revenues were down as expected due to the softness in the overall marketplace, and in Testing and Instrumentation market sector revenues were significantly down with the continued deterioration in the semi-cap equipment market.
 Now for a quick update on Thailand. Included in our financial results for the third quarter is a net Thailand flood related recovery of $3.1 million, which consist of $1 million of cost directly attributed to the Thailand flood offset by $4 million of insurance recoveries in excess of previously recognized inventory in property, plant and equipment losses. We will continue to work with our insurance carriers on the claims and recovery process, which will continue until all of our claims are finalized and upon settlement recovery items including lost profits will be recorded and may result in gains to Benchmark.
 To providing more meaningful comparative analysis, I will present certain financial information excluding our restructuring and the net Thailand flood related recovery for Q3 during this conference call. We’ve included a reconciliation of our GAAP results to our results excluding these items in today’s press release. Our operating margins for the third quarter was 3.7%, which is consistent with the second quarter of this year.
 Our net income was $17.5 million in the third quarter of 2012. Net income was $20 million for the third quarter of 2011, which included a discrete tax -- income tax benefit of $9 million. GAAP net income for the third quarter of 2012 was $19.3 million, net income for the third quarter of 2011 was $19.9 million, which again included the discrete income tax benefit, I just mentioned. We had interest income of approximately $326,000 for the quarter, interest expense of $443,000 and other income of $178,000. The effective income tax rate was approximately 22% for the third quarter and we expect the tax rate to be in the range of 20% to 22% in the fourth quarter.
 The diluted weighted average shares outstanding, using the calculation of EPS for the quarter were 56 million. Our cash and long-term investments balance was $340 million at September 30th, of which $14 million were auction rate securities classified as long-term, the unrealized loss on the securities are $3 million as reflected in shareholders’ equity.
 For the third quarter, we generated $53 million in cash flows from our operations, including $23 million of Thailand flood insurance recoveries for inventory losses. Note that the replenishment of this inventory is reflected as a use of cash earlier in the year.
 Capital expenditures for the third quarter were $14.6 million and depreciation and amortization expense was $9 million for the quarter. Other third quarter CapEx approximately $6 million as related to the replacement of property and equipment in Thailand. Repurchase of common shares for the third quarter were $8.1 million or 600,000 shares. As of September 30, we have an additional $104 million in common shares approved for repurchase. Our accounts receivable was $455 million at September 30, a decrease of $3 million from last quarter.
 Accounts receivable days were 67 for the quarter. Inventory was $375 million at September 30, a decrease of $12 million from June 30, our inventory turns were 6 times for the quarter, which was consistent with the second quarter of this year. Current assets were approximately $1.2 billion and the current ratio was 3.6:1. And finally as of September 30, we had $10.7 million in debt outstanding, which is a long-term capital lease in 1 of our facilities.
 And I’ll turn the call over to Gayla for her remarks -- for her summary and remarks. 
Gayla J. Delly: Thank you, Don. Good morning, and thank you again everyone for being with us today. Wow, what an exciting year we’ve had thus far, a great first year experience in the seat as CEO. Just as we put the 2011 challenges behind this, the fall winds of uncertainty hit us and others in our business with the new feeling in the air. I and others in the industry have often used the word broad base however I can say, that I don’t ever recall a time where it has had the same powerful definition that it has today. There is truly been a broad-based demand deterioration in recent weeks. So it is against this backdrop and within this context that we present our results today for Q3 and our outlook for Q4.
 Looking at Q3, we are pleased with our third quarter results and overall solid performance. We’ve achieved our revenue and operating margin targets. Our results continue to show consistency and stability in a number of key areas and these will enable us to effectively manage through the overall tough macro environment.
 I’m happy to highlight a few items from this morning’s press release. Again, our revenues were $611 million compared to our guidance of $595 million to $625 million for the quarter. This represents a 7% year-over-year revenue increase. Our earnings per share, excluding restructuring and the Thailand flood recovery were $0.31 compared to our guidance of $0.27 to $0.32.
 Our operating margin as I noted, excluding restructuring and the Thailand flood related recovery was 3.7% consistent with Q2. Positive operating cash flow generation was $53 million for the quarter and as Don noted, this includes $23 million in insurance recovery.
 Our inventory decreased to $12 million when compared to June 30 and our inventory turns we’re 6 for Q3. Our teams also had another successful quarter of booking, which we’ll discuss later. As is evidenced by our results, during the third quarter our teams continue to drive improvement and consistency in several areas, which include operating margin and operational performance, working capital focus execution by our customer and maintaining disciplined cost control.
 We will continue to drive toward our operating margin target of 4%. However, as you can see in our guidance in the current market place, we do not expect this to happen in Q4. As we had previously commented, achieving the 4% operating margin is dependent upon meeting a volume level of approximately $625 million in quarterly revenue and also having a normalized revenue mix. As we have demonstrated during the first 9 months of 2012, we will execute and continue to drive efficiency improvements and manage our controllable areas such as having strong cost control an effective and efficient management of new program rent. Our focus on these areas will continue.
 Moving on to our revenue and new bookings. During the third quarter we booked 25 new programs including 10 engineering projects. These bookings have an estimated annual revenue run rate of about 120 -- $100 million to $120 million. These bookings represents new program with both new and existing customers and as always there are subject to the risk of timing and alternative realization of estimated revenue.
 Importantly because of the dynamics in the current business environment, including lack of forecast visibility and the timing of a market recovery, we have significantly tempered the top 5 forecast in the top end of the range for the new product ramp as the sizing of these new programs is not any easier, nor does it have any greater visibility than the forecast from our customers did for current program in production.
 Our focus on the diversification of our service offerings has added complexity to the product opportunities we see. Because of this, we are experiencing elongated booking and decision-making processes. And in addition, we also see product ramps that that often take longer than the traditional 9 to 12 months. In fact, we have a have a number of programs that were booked over the last several quarters that will not achieve their full projected ramps until 2014. In today’s environment. OEMs continue to seek ways to compete more effectively and improve their cost structures. Because of this, we still see strong outsourcing activities. And I have a very positive view of the outsourcing opportunities we see.
 For our fourth quarter guidance, we incorporated as I mentioned, the current environment today with continuing market uncertainty remaining in the global economy. I’m looking forward to Q4, it is normally a stronger quarter for Benchmark but 2 industries are providing more cautious forecast to us. And those specifically include defense and aerospace with the pending sequestration activities and our customers have incorporated this into their forecast.
 Additionally Testing and Instrumentation has experienced and will continue to experience severe declines in semi-cap equipment spend. We have incorporated this information into our guidance. Based on this, we currently estimate that our fourth quarter revenues will be in the range of $580 million to $610 million. Diluted earnings per share for the fourth quarter, excluding restructuring and Thailand flood related charges are expected to be between $0.26 and $0.31 for the quarter.
 We anticipate approximately $2 million in restructuring charges during the fourth quarter and we’ll continue to evaluating any actions that may be necessary to react to the changing market.
 In summary, I’m extremely proud and excited of say that the challenging of late 2011 and early 2012 properly prepared the Benchmark global team to face the challenges in the macro environment today. We have stepped up our game to support our customers increased demand variability in the latter half of Q3 and in support of the elongated production ramps including the supporting our customers who often are facing resource constrain inherent in this environment.
 We have also worked jointly with our customers to focus on initiative to further increase agility and increase their cost competitiveness in their product. We want to ensure that we, that is us and our customers, are prepared to preserve and even gain share in this down market. Unfortunately, these efforts don’t fully offset the downdraft of demand that can cause by the many economic and spending challenges globally. But we are confident, that our focus has allowed us to deliver solid results for Q3 and begin Q4 having the same diligent and focus required to navigate through this uncertain environment.
 I am grateful to our internal teams and our customers for their support and joint effort set forth thus for we know there is many challenges ahead. These challenging times are exactly when outsourcing improve the benefit which can support our customers and prospective customers in reducing their cost structure. The Chinese language seems to capture well my view of the environment today, having 1 symbol which represents both the word challenge and opportunity, which is exactly what we see globally today and for the near term looking forward.
 We have the challenges supporting the program ramps and managing the demand volatility and the spending decline and also had clear opportunities to take our new creative outsourcing requirement driven by the intensiveness and the pervasiveness of the downturn. We will remain focused on our customers and driving profitable growth and we have the proven ability to manage their intense hardship and it looks like this one may be another 1 for the record.
 Thank you. And I’ll open it now for Q&A session. 
Operator: [Operator Instructions] First, we’ll go to the line of Sean Hannan with Needham & Company. 
Sean Hannan: On the guidance and then just a little bit more sense of what you’re seeing in the broader environment. I realize you did emphasize this is a broad based decline you’ve seen. Can we get, perhaps a little bit more color around this and then also how does this feel versus the rate of decline that we saw in 2008, it certainly seems like we’re getting more commentary at present that the recent weeks forecasts across the EMS space have been more dramatically reduced. And so just getting a relative sense of what that incremental deterioration feels like to you and then how much does your guidance perhaps contain conservatism for any incremental deterioration that you might be seeing from customers whether end market focus or if it's inventory management? 
Gayla J. Delly: I’m going to attack that from a couple of different angles. First of all, I get -- the interesting data point at their way and likely you’ve seen in the news is that corporate earnings and profits remain strong. And in that environment, we would expect to see continued investment in CapEx and support of new programs and growth. However, there seems to be an increased level of hesitation for spending. And that’s basically, I think the key driver that we see for softness right now. There are specifically 2 industries that I’ve pointed out that we’ve seen softness, 1 the semi-cap equipment and Testing and Instrumentation is the segment we captured that in? And we’ve seen significant volatility in that area. That given some of the spend in that area, we expected to see potential continued deterioration. But that only represents 5% of our revenue now. It could go down a bit more. I guess, then importantly also in our Industrial Control segment, we included in some aerospace. That has quite a significant level of conservatism baked in not just by us, but also by our customers. And they try to anticipate what the actions maybe in the upcoming month with sequestration. In some cases, customers have taken a very significantly reduced forecast and are really in a wait and see mode. I believe that one potentially given what the outcome may be, could -- and be conservative. I don’t know at what time those may change or when the adjustments would be made by customers reacting to that. Overall, I think what we do see is just a general conservative stance and really the agility programs that I talked about are in support of customers to react more timely to the volatility they are seeing both on the downside and the upside. And the more we’re able to react very quickly to the upside the better, I think we and our customers are positioned to allow us to take advantage. If in fact we have positioned ourselves too conservatively, but I think that is appropriate and provides us very strong longer term opportunities? 
Sean Hannan: Okay, that’s helpful. And then when you look beyond December, and I realize you’re not providing explicit commentary around ‘13. But should Benchmark end the year based on what you’re seeing now. Should you be able to enter the year in position to demonstrate some growth based on your existing base business and wins you’ve accumulated or is that just too difficult to get a sense of at this point today? 
Gayla J. Delly: I do believe this is probably difficult to say. We’ve got a number of new programs ramping. And as I indicated, some of these are taking longer, some of them because they are more complex. But also some of them just given the things going on in the environment today. So I do believe that the outlook in the 2014, anything I would indicate would simply be conjecture on my point, because I don’t think our customers are moving forward even in giving forecast. And so if all I have a reason for belief and improvement, I'm not necessarily at a point where I would indicate that the macro environment supporting me and believing them. 
Operator: Our question comes from the line of Brian White with Topeka Capital Markets. 
Brian White: Just to be clear, are order cuts coming in worse than what you saw in 2008? 
Gayla J. Delly: What order? 
Brian White: Just forecast reductions. 
Gayla J. Delly: Sorry, forecast reductions. Brian, I did not do a comparative analysis there. I guess here is the difference, the primary difference was in 2008 it seemed to be built upon momentum that we enter the year with and therefore was conditioned as an inventory correction for and by most customers. I don’t hear as much discussion today related to inventory corrections. So if there is anything that gives us pause, I think it would be clearly that, that it maybe consumption driven rather than just an overdrive of inventory. 
Brian White: Okay. And Computing and Telecom, in the fourth quarter, they will rise or decline sequentially? 
Gayla J. Delly: I believe that they will be flattish and potentially Telecom we’ve seen some very good strength specifically at Benchmark really related to new program ramps. If you look at the underlying dynamics in telco, I don’t see that industry providing the strength that we are seeing. So it really is going to be dependent upon the overall marketplace there, but I don’t see that positive as an industry overall. 
Brian White: And defense and aerospace, what percent of industrial defense and aerospace for you? 
Gayla J. Delly: It’s probably 15% to 20% maybe. 
Operator: Our next question comes from the line of Rick D’Auteuil with Columbia Management. 
Richard D'Auteuil: Can you comment on the pricing environment and whether there’s more than usual pressure on, I guess, I’m talking about the legacy base of business, not necessarily the new bids and then we’ll address them separately, but what do you think on the pricing side of the equation? 
Gayla J. Delly: I don’t think that the environment has changed maybe I’ve always had a sort of tough customers. But again, it’s a focus with our customers to drive their ability to take market share. So it’s not us winning and them losing. It is really about how can we position jointly to make their products more competitive in the marketplace. And so that’s the challenge more so than specifically a customer looking to us to kind of solve the problem, if you will. So I see the environment is being tough, but I don’t see what I would call anything usually different than in the past. That could change given the clear under-utilization of capacity coming up with some of the degrading demand that’s out there, especially in the consumer products market. But currently we haven’t seen anything much different than what we’ve seen historically. 
Richard D'Auteuil: And it’s also true on the new business side of the equation with your new wins as those programs ramp, should they be in that 4%-plus after they ramp? 
Gayla J. Delly: Yes, [indiscernible] our model and we haven’t changed our model it really is in alignment, in fact, I believe most customers are aligned such that they want to make sure that they have a successful partner. And the last thing that they would want to do on our business is to get to a point where it doesn’t make good business sense for their partner and therefore they’d have to make a change of partners. It truly is a collaborative effort for both of us to be jointly successful. 
Richard D'Auteuil: Then lastly, what if any are the cost actions that you’re taking to adjust your expenses, given the reduced expectations on revenues? 
Gayla J. Delly: I think it’s all the normal ones. So it’s making sure that we do what I’ll call bottoms-up review of all costs and ensure that we go through the process to a eradicate any cost we can that are truly controllable. So every controllable cost gets reviewed in an environment like this. And I guess just high water floats all boats, a low watermark exposes things that you may see as opportunity that you didn’t recognize before. So absolutely it’s making sure we’ve got teams aligned with the opportunities we see in front of us. 
Richard D'Auteuil: Are there any specific head count targets knowing that we’re in for a tough, at least 3 if not longer than that kind of period months? 
Gayla J. Delly: No. I guess you’re kind of referring to the market. I mean, it’s almost like every day we see someone with 6% or 5%, 10% head count reduction. I don’t have that in place currently. And we would continue to align to the market marketplace. We have over the years employed having a flexible workforce to the extent possible to ensure that we’re able to balance. And I believe we have done a pretty good job of that and we’ll continue to use that as a point of leverage as much as possible. 
Operator: Our next question comes from the line of Amit Daryanani with RBC Capital Markets. 
Amit Daryanani: Just a couple of questions on my side. One, could you say we talked about, I think in the December quarter, 2 segments you have been calling out Defense/Aerospace and Testing and Instrumentation. I think that’s about 8% to 9% of your total revenues. So is the implication of those segments are really going to be down 25%, 30%, something that severe. Maybe we just talk about what do you see across all of the other segments in this December quarter? That would be helpful. 
Gayla J. Delly: Yes. Those could clearly be down by -- I don’t know -- I’m not -- we typically don’t give out forecasts by industry but those industries could be down with that significantly. But looking at the other industries as I believe, we’ve seen across a number of the industries the spend, although Q4 is typically strong, CapEx spend in computing has been weaker for hardware and so we temper that into our expectations. Likewise as I mentioned, in Telco, we’ve really grown and grown that share through taking share and new programs. But I don’t see in Telco, itself. In Medical, I believe again we’re ramping new programs. But I don’t see that as been a significant needle mover, but I could see medical being up in low single-digits or mid-single-digits potentially. 
Amit Daryanani: And then I guess Gayla, you can talk about probably when you talk to your customers, is this more of a pause given elections have changed the government in China and so on. Or is this a much more structural console that 2013 could be a softer demand environment. When you talk to your customers, I’m just curious what sense you get out of those? 
Gayla J. Delly: I think each of the items you mentioned come into discussion whether it be the slowing level of growth in China, whether it be and European recession or the reduced level of growth in the U.S. are actually no growth in the U.S. potentially. So again it becomes very difficult to see how much of this is structural in the new market place. And I think that’s where all customers are trying to level set their own expectations around. What do we need to model for? There is, I believe, a general belief that it will not be as strong overall, maybe as some of the double-digit growth that we’ve seen historically in some markets. But I think it’s somewhere much brighter than what is modeled in for the near term. There is a lot of moving parts right now as you mentioned where the elections in China, the election in the U.S. and I think positioning around some of those dynamics currently. 
Amit Daryanani: Just finally from me, you guys have had decent cash flow quality in Q3, given demand patterns a little bit softer in the December quarter, should we expect sustained cash that $40 to $50 million range in December. Maybe just talk about operations for the next quarter. 
Donald Adam: Yes, I think, in terms of Q4, you’re probably in the $25 million to $35 million range for cash flow from us. 
Operator: [Operator Instructions] We’ll go to the line of Jim Suva with Citi. 
Jim Suva: Quick question on the really major computing ramp program that you had, can you just let us know, is that kind of still on track for ramping next year, I think the run rate was about $150 million or does this macro environment really even cause all customers and a customer like that to kind of reassess both, a, the magnitude of project as well as, b, the timing to market and then do they need to redesign it or if you just kind of talk about those factors? 
Gayla J. Delly: Jim, as we noted last quarter, I believe, we don’t have that in our current forecast and aren't including it in any of our modeling, however that is not to say that customer has abandoned or has lost site or investment in the opportunity. And we’re continuing to work on those and think that, when it comes about we’ll give you as much as insight as we have and consider it a positive at that point instead of trying to continuously address and provide explanation for things that are really beyond our control and understanding the dynamics in the marketplace. Still very excited about the opportunity. We’re working very diligently with the customer but I don’t have certainty about the timing of the ramp. I do know that the investment though is still worthy of attention and dollars from the customer. 
Jim Suva: Great. It sounds like that would be upside next year. And then the second question I had is 1 of your peers or competitors this morning and I know you were preparing for the call. But Plexus announced it, they saw some additional pricing aggressive measures by some of those customers. This is always a tough industry and I know your customers always want better and better pricing. Have you actually seen them increase the aggression on their pricing or any thoughts about why Benchmark may not be seeing as others are? 
Gayla J. Delly: Jim, I really can’t answer for kind of what they saw and their customers, of course, but as I mentioned earlier maybe we’ve always had aggressive customers that clearly I think that focus for all of us all along and I’ll give Cary clear credit for the many years that he trained our teams that in order of our customers to be successful. We have to assist them and in doing so we have to be very aggressive on driving cost down. And that’s what allows them to grow their business. So if they don’t grow, we don’t grow. And with that mindset, I think that [Indiscernible] managed the businesses. Yes, it’s very competitive. Our margins are very tight. We have to constantly be vigilant. I can’t have any explanation though for what a peer may have seen 
Operator: We’ll go to the line of David Fondrie with Heartland. 
David C. Fondrie: Can you talk a little bit about the capacity utilization over in Malaysia, Padang? 
Gayla J. Delly: We don’t do a site by site level, but I think we are pleased with our capacity utilization there generally and seeing a drive to improvement there. As you can tell from our operating margin, we have the balance of utilization generally overall. But again, I don’t get into the specifics of a specific utilization rate in a site-by-site. I know there has been some movement in some of that area amongst competitors that have seen a significant decline, that’s not what we’ve seen. 
David C. Fondrie: Maybe you could give us some indication of overall then capacity utilizations of your entire… 
Gayla J. Delly: I’d say that we are probably about the 60% to 65%. We clearly have the ability to grow and have the -- have tool capacity ready to take on the recovery of business. So our CapEx is already in place. We don’t have a new brick and mortar going on in any geography and, in fact, you might you know and as Don indicated, I believe in call note in our spend for CapEx this quarter we -- it included about $6 million that clearly was a reinvestment from property and equipment which the insurance proceeds were to offset, but nonetheless, it comes back through as a CapEx spend for this quarter. 
David C. Fondrie: This is the last question is, really still have this tremendous cash balance on the balance sheet, any thought of perhaps initiating the dividend and opening your stock up to a wider array of investors? 
Gayla J. Delly: Absolutely, we’ll continue to monitor and review that. And I believe this is really is 1 of the items I have consideration that we have in conjunction with our [indiscernible] board as we identify how we can continue to provide value to the shareholders. 
David C. Fondrie: [indiscernible] people looking for yield, a small dividend might be supportive of the stock. 
Operator: Our next question will come from the line of Bryan Adams (sic) [Alexander] with Raymond James. 
Brian Alexander: It’s Alexander. Maybe just a follow-up on that last question. How much of the cash is in the U.S. versus offshore. And then I just have a couple of other follow-ups. 
Donald Adam: Is roughly 1/3, 2/3. 1/3 being U.S. 
Brian Alexander: Great. And I could be wrong, but I thought the Defense in the Test and Instrumentation segments which you cited is disproportionately weak or some of your higher margin businesses. So can you just maybe talk about, the gross margin versus OpEx dynamics as we head into the December quarter given the revenue guidance and what ultimately incorporated in the operating margin target which I think is down about 20 basis points sequentially, which to be fair, is not onerous given the environment? 
Gayla J. Delly: So good point, Brian. Yes, the more complex business and regulated businesses typically have more service oriented value-ad, best margin associated with them and they were down for Q3 and expected to be down for Q4 potentially even further. So that’s incorporated into our Q3, actually in our Q4 guidance. So when I talk about the operational execution and efficiency that our teams have to focus on that. That is -- very key to our effectiveness in making sure that we can achieve our goals. We don’t speak specifically to gross margin. We know when we’ve done our own analysis that definition of gross margin is inconsistent across industries. So we really drive to that operating margin level and ensure that we are focused on maintaining that. Did I answer all your questions? You may have had 1 more that I forgot about. 
Brian Alexander: Yes, I’ve got 1 more. So if I look at the December guidance, your revenue at the midpoint, it’s about $30 million away from where you get to a 4% operating margin. And I think your operating income if I’m calculating it right at about $20 million for Q4 or is about $5 million a way of where you would need to be. So if I guess what I’m getting at is to imply you need like the 15% contribution margin on that revenue growth to get back to a 4% margin. Is that how you’re thinking about the business? And then just walk through how you get there given that a lot of the incremental revenue that you would hope to achieve is coming from new ramps and oftentimes with new ramps comes higher cost? 
Gayla J. Delly: So Brain, you definitely understand the dynamics of the marketplace that we participate in very well. But as I indicated, it really isn’t just revenue I think there may not be a whole lot of things reporting at our industry would comment on that's exactly the same. But this I think we would all agree on is about mix and revenue. So if the more complex value-added industries are weak, it will takes a lot higher revenue level or otherwise you got an unutilized resources or capacity that you may elect for the longer term to maintain intact as a good strategy in support of those industry that nonetheless -- excuse me will have a drag on your operating margin when those industries are down. 
Operator: Our next question comes from the line of Wamsi Mohan with Bank of America. 
Wamsi Mohan: Yes. Gayla, in your prepared remarks you mentioned, this was very broad based slowdown something that you haven’t seen in a while. I’m wondering, given that sort of context of the demand backdrop, why not take a more aggressive stance towards structural changes if necessary to your cost structure. And what would prompt you to go make those changes. Is there a particular revenue level that you’re looking for that would trigger it. Is there more demand deterioration. What is it exactly that would want you to go implement more on the cost side? 
Gayla J. Delly: Wamsi, I guess in simple terms, I would say that if we didn’t expect there to be a recovery and we thought that this is was a structural change and a long-term change, we would definitely take strong and severe actions. I think again we have been aggressively positioned to deliver results and see opportunities in front of us that would warrant keeping our structure in place. If that changes, we would address that. 
Wamsi Mohan: Okay. And Don, can you remind us of what normal seasonality typically is in calendar 1Q and given what you’ve been seeing in terms of order patterns and the revenues, so the weakness that we’re expecting in 4Q. How should we be thinking about the seasonality for 1Q? 
Donald Adam: I mean, I think historically as Gayla said in her prepared comments, Q4 is typically up and I think as you go from normal Q4 into Q1, you’re probably down 5% to 7%. 
Gayla J. Delly: I guess the point we were -- we said Wamsi and the unknown is if Q4 doesn’t show the strength does Q1 show an offset to something that isn't as strong as historical. 
Operator: Our next question comes from the line of Taylor Finch with Century Management. 
Taylor Finch: My question for you guys is to what extent does the lack of activity in the Testing and Instrumentation products business way on your margins right now? 
Gayla J. Delly: I don’t really have a -- what I often referred to as with and without calculation, it is a more intense marketplace. But I don’t, we don’t separate out industry by industry. 
Taylor Finch: Okay. And how do you feel like your positioning in that market and potentially in a recovery? 
Gayla J. Delly: I’m not sure, I understand the question. But again, I believe that we have as the -- and the support for our customers. I think this is really more about our customer’s customer than it is about any specific support structure that we have. 
Taylor Finch: Okay. And is there any end market you look to in particular that you think growth today would give you your best chance to reach $630 million run rate or the mix necessary to get to 4%? 
Gayla J. Delly: I don’t think there is more and that I would call it just a silver bullet. Clearly the ones that seem to have the most volumetric increase in most rapidly would be Computing and Telco. They have the ability to swing very fast. The -- some of the growth that we have of course is -- has been in Telco and we expect to be in Industrial Control and also Medical. And Industrial Control and Medical are the ones they don’t ramp as faster have the significant volume increases. So I’d just say those are the key dynamics we see. 
Operator: Next, we’ll go to line of that Sherri Scribner with Deutsche Bank. 
Sherri Scribner: I just wanted to explore the Computing segment again. Typically that segment for the fourth quarter, you would see about 10% to 15% growth at a minimum, very few quarters have you seen a decline in that business. And I think you guys are guiding to flat. So it’s not as bad as sort of a recession. But wanted to get a sense of what you’re seeing there, you really don’t expect any growth there, you’re really seeing nothing from customers that makes you think you’ll see any sequential improvement? 
Gayla J. Delly: We did have 1 program as we previously mentioned that would be kind of a short cycle program and that one is wound down, winding down. And therefore, upside is really kind of buried against and offset against that. 
Sherri Scribner: Okay. So the underlying business is really very weak at this point? 
Gayla J. Delly: I would say so in comparison to what we’ve historically seen. The computing spend is down and you hear some declines on hardware being very significant. 
Sherri Scribner: And did you mention any greater than 10% customers this quarter? 
Gayla J. Delly: We have 1 over 10% customer that we -- for this year. 
Operator: We have a follow-up from the line of Brian White with Topeka Capital Markets. 
Brian White: Yes, I’m just wondering how we should think about SG&A in the fourth quarter just in dollars, is it going to go up a little bit down? And gross margin, what type of a decline should we think about there? 
Donald Adam: In terms of -- I would expect a modest decline in SG&A. I would say I think we finished a 3.7% you should be in that same range for the quarter. 
Brian White: Okay. So as a percent same? 
Donald Adam: Correct. 
Operator: And with that, that was the final question. We have no other questions in queue. Please continue. 
Gayla J. Delly: Again, thank you everyone for joining us today and we’ll be in our office for any follow-up questions you may have. 
Donald Adam: Thank you. 
Gayla J. Delly: Thank you and have a good day. 
Operator: Thank you. And ladies and gentlemen, that does conclude your conference call for today. Thank you for your participation and for using AT&T Executive Teleconference Service. You may now disconnect.